Operator: Thank you for standing by, and welcome to Intapp's Fiscal Fourth Quarter and Year End 2024 Financial Results Webcast. At this time, all participants are in listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to, David Trone, Senior Vice President of Investor Relations. Please go ahead.
David Trone: Thank you. Welcome to Intapp's fiscal fourth quarter and year end 2024 financial results. On the call with me today are: John Hall, Chairman and CEO of Intapp; and David Morton, Chief Financial Officer. During the course of this conference call, we may make forward-looking statements regarding trends, strategies and the anticipated performance of our business, including guidance provided for our fiscal first quarter and full year 2025. These forward-looking statements are based on management's current views and expectations, entail certain assumptions made as of today's date and are subject to various risks and uncertainties, including those described in our SEC filings and other publicly-available documents that are difficult to predict and could cause actual results to differ materially from those expressed or implied by such forward-looking statements. Intapp disclaims any obligation to update or revise any forward-looking statements, except as required by law. Further, on today's call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results, including non-GAAP gross margin, non-GAAP operating expenses, non-GAAP operating income, non-GAAP diluted earnings per share, and free cash flow. As a reminder, all of our financial figures we will discuss today are non-GAAP except for revenue and revenue growth and total remaining performance obligations. Our GAAP financial results along with reconciliations of GAAP to non-GAAP financial measures can be found in today's earnings release and its supplemental financial tables, which is available on our website and as an exhibit to the Form 8-K furnished with the SEC prior to this call, or a supplemental financial presentation, which is available on our website. With that, I'll hand the conversation over to John.
John Hall: Thank you, David. Good afternoon, everyone. Thank you for joining us. We're pleased to be here with you to share the results of our fiscal fourth quarter and full year of fiscal 2024. I'm pleased to share that we had another great year with strong results across the business including cloud ARR growth of 33% year-over-year. We added new logos, consistently grew existing accounts via cross-sell and up-sell, and deepened and expanded our international footprint. We've released a new set of generative AI capabilities designed for the specialized needs of our target markets, and we expanded our product portfolio and R&D capability through strategic acquisitions. And, we continue to evolve our partner ecosystem with significant wins related to our strategic partnership with Microsoft. I'll share details on how each of these growth drivers impacted our performance throughout this call. As I noted earlier, in Q4, our cloud ARR grew 33% year-over-year to $297 million. Cloud now represents 73% of our total ARR of $404 million. In the quarter, we earned SaaS and support revenue of $85 million, up 25% year-over-year, and total revenue of $114 million, up 21% year-over-year. Additionally, we now have 73 accounts with ARR of more than $1 million a year-over-year increase of 38%. Notably, this number was partially driven by an uptick in large enterprise investment banking deals in our fiscal third and fourth quarters, and we continue to increase our profitability and free cash flow this year. We enter fiscal year 2025 with optimism and confidence that our vertical SaaS platform applied AI strategy and strong competitive position are a strong foundation for a sustained growth and execution in this large addressable market. Now I'll share some highlights from Intapp's fiscal year 2024. I'll start with product innovation, which continued to drive our growth in fiscal '24. As I previously shared, Intapp's intelligent cloud is specifically designed for the unique needs of the firms we serve. The same is true for the robust set of applied AI capabilities that we released this year, where our deep understanding of the applications of AI for our professionals in our markets are creating the most effective and high-value outcomes for our clients. With each consecutive quarter of fiscal '24, we made advancements to our Applied AI portfolio and roadmap, including Intapp assist for DealCloud, which integrates AI into everyday workflows to save professionals time by generating deal, company, and meeting summaries and creating personalized targeted relationship outreach. The capability has already been adopted by clients, including law firm A&L Goodbody, the investment team at US Realty Advisors and private equity firm and venture. We also launched Intapp Walls for Copilot. As exciting as new generative AI is in so many areas of the market, it also brings with it a risk of oversharing sensitive information. In our market, firms are particularly vulnerable to this. Our new offering is designed to help address the oversharing risk, as AI rolls out in the market and is uniquely tuned to the confidentiality and security requirements our end market faces. Recently, the CIO of an AmLaw 50 law firm told us, ''Without Intapp Walls providing the confidentiality and security policies to Teams and SharePoint, we would not have been able to roll out Microsoft Copilot, knowing we could be at risk of oversharing data with unauthorized users.'' Other AI features that we announced include Intapp Data, a core capability available to all DealCloud clients that augments firm's internal intelligence with information on more than $85 million companies and $200 million contact in our markets and DealCloud's activator experience, which helps to facilitate professional successful business development behaviors and habits using Intapp’s AI-powered signals. Private equity-focused financial and consulting firm Accordion recently selected DealCloud to help its professionals adopt activator behaviors, giving them a competitive edge in managing client relationships and growing their business. Their CEO told us that, the way we've infused our platform's core functionality with an understanding of what it takes for firms like this to win new business was a key factor in their decision to purchase DealCloud. Our Applied AI strategy is winning and helping to deepen client confidence, especially among larger firms. In fact, the investment banking arm of one of the largest global financial services groups selected DealCloud and recognized the value of including Intapp Assist to support a set of aggressive near-term financial goals. Their decision to replace their legacy CRM was based in part on the strength of our Applied AI strategy and product roadmap. We also continue to invest in our industry solution strategy, which incorporates built-in configurations to enable best practices for the various markets we serve via close to a dozen pre-populated industry blueprints. Our DealCloud adoption rates and accelerated clients. With each consecutive quarter of fiscal reconciliations of GAAP to non-GAAP financial measures can be found in today's close to a dozen pre-populated industry blueprints. Our DealCloud adoption rates and accelerated deployments demonstrate that our blueprint strategy is gaining traction. In Q1, Storskogen, a Stockholm-based international group of businesses across trade, industry and services chose our blueprint for corporate development. In Q2, transatlantic middle market firm Rhone Group chose to leverage our private equity blueprint. And in Q4, a global consulting firm chose our advisory industry blueprint pre-configured specifically for consulting firms. Now, I'd like to continue the conversation on innovation, but focus on our M&A activity. During the second half of fiscal year '24, we continued to add important technology capabilities to our cloud portfolio through acquisition. In February, we announced our acquisition of Delphai, a cutting-edge organization that applies AI across public data, helping to ensure that firmographic data is collected, structured and presented to professionals with critical provenance. This acquisition is a further step forward for Intapp's AI strategy and augments our already rich AI talent. The integrated team has been highly productive since the acquisition, enriching our Intapp data offering with more than 15 million Delphai-driven data points that equip our firms with information on companies, deals, and opportunities, while creating more proprietary training opportunities for our in-house AI models. And in May, we acquired Transform Data International, a long-time Intapp partner that builds and implements enterprise collaboration technology for our markets. We believe the combination of Intapp Solutions and TDI's domain expertise will further optimize our clients' work within Microsoft applications. Together, we'll facilitate better collaboration and lay the groundwork for more successful, verticalized applications of AI tools like Copilot. Plans to integrate TDI's advanced search capability into our collaboration solutions are already helping to influence deals and strengthening our ability to help firms derive more value from their Microsoft investments. On that note, I'll turn now to our partner ecosystem, where we've also made significant progress throughout the fiscal year. Our strategic partnership with Microsoft continues to support our global growth. Having Intapp solutions available on the Microsoft Azure marketplace positioned us well for Microsoft's Q1 rollout of seller incentives tied to sales on the marketplace. This has helped to garner additional interest and support from Microsoft's field team and further accelerate the growth of our business. One notable example is KPMG. KPMG is an Intapp partner and we work together in the field. And now internally to KPMG, they have separately chosen to implement Intapp collaboration solutions across their global network of firms and completed their purchase through the Microsoft Azure Marketplace. Intapp collaboration solutions will support KPMG's command center initiative, transforming its Microsoft 365 platform into an engagement-centric collaboration solution and further unlocking the firm's potential to benefit from Microsoft Copilot. This comprehensive solution for KPMG exemplifies how the Intapp Microsoft strategic partnership is meeting the complex needs of professionals at the world's most prestigious firms. Additionally, in Q4, our partner ecosystem and offerings continued to grow. We added five new partnerships, bringing us to 130 data technology and services partners. Notably in Q4, we announced a partnership with Bite Investments, who will help us deliver specific value for alternative asset managers in DealCloud through an integration with their fundraising and investor lifecycle management platform. Okay, I'll turn now to key deals. We've continued to steadily grow our client base through cross-sell, up-sell, and the acquisition of new logos, including large enterprise clients. We ended the year serving more than 2,550 premier firms across our target verticals. I'm happy to share just a few of the new logos we added in Q4. First, a global independent investment banking advisory firm chose DealCloud to replace its large legacy CRM. Their incoming COO recognized the need for a deal management platform that informs decisions at a strategic level and selected DealCloud to manage the firm's private capital advisory and fundraising business. Next, one of the largest players in the private credit space also chose DealCloud to replace its existing legacy CRM, which despite years of customization still had poor adoption. Next, we added clients in new international markets. First, Trilegal, one of India's largest law firms chose Intapp Time to reduce the administrative burden of its professionals, increase accuracy, and accelerate billing and Old Mutual Alternative Investments, one of Africa's leading private investment managers selected DealCloud because they believe it offers the quickest route to value, best fit, and lowest implementation risk and a top 20 U.S. accounting firm chose Intapp Intake and Conflicts to better understand their conflicts of interest, streamline manual processes across disparate systems, and improve adherence to PCAOB regulations. Additionally, in Q4, our cross-selling and up-selling success to existing clients continue to drive strong net revenue retention. Some examples. First, an AmLaw 100 law firm currently using our Conflicts Terms and Wall Solution also selected DealCloud as it’s client relationship management platform. The firm believes DealCloud will empower its professionals to better leverage the firm's relationships. They also see our Applied AI strategy as helping to set them on the path to leveraging AI for growth. Next, DealCloud client Argonaut Private Equity selected Intapp Employee Compliance to monitor, identify and manage employee adherence to the firm's code of ethics and conflicts of interest policies. Next, the European arm of one of the world's largest accounting firms significantly expanded licenses of our collaboration solution as they seek to modernize the document management experience for their legal and tax professionals. Next, the UK arm of another of the world's largest accounting firms added hundreds of DealCloud seats, as they work to modernize their deal flow work streams to better serve their private equity clients. And we also saw healthy uplift and increasing license counts among our legal clients as larger firms expand practice groups and geographies. For example, as lawyer counts grew in Q4, a top 15 firm and an AmLaw 100 firm, each expanded capacity across all of their Intapp solutions. In conclusion, we're proud of our strong performance in fiscal year '24 and we're well-positioned for continued growth in fiscal year '25. We are serving a durable end market with our deeply differentiated intelligent cloud platform, our vertical AI approach, and our Applied AI strategy. We see continued opportunity both to add new clients across a broad TAM and to expand significantly within our existing client base. We have a great growth opportunity to drive cloud and vertical AI adoption and digitalization across this unique and highly valuable end market. As always, I'd like to thank our clients, our partners, our investors, our Board, and our global Intapp team whose teamwork and dedication led such a successful year. Thank you all very much. Okay. Now I'll turn things over to our CFO, David Morton.
David Morton: Thanks, John, and thanks everyone for joining us today. I am pleased to report our strong fourth quarter performance, which capped off a year of resilient cloud ARR growth, significant new logo wins across markets and geographies and increased wallet share with our largest clients, all while enhancing operational efficiency to scale profitability. These results underscore consistent execution and position us with multiple growth levers for fiscal 2025 and beyond. Let's begin with our Q4 results. SaaS and Support revenue was $85 million, up 25% year-over-year, reflecting sales to new clients and expansion of existing clients from both cross-selling and up-selling sales motions. Beginning this quarter, SaaS revenue will be reported separately from on premise support to better highlight our growth trajectory and net new sales activities. For fiscal fourth quarter, SaaS revenue was $70.8 million, up 31% year-over-year driven by new client acquisitions, contract expansions and the migration of an on-premise products to the cloud. Subscription license revenue was $16.1 million, up 32% year-over-year largely due to one large client opting for multiyear on premise renewals as we navigate them to the cloud. With that said, 92% of our clients have at least one cloud module. Professional services revenue was $13.3 million marking a 9% year-over-year decrease, reflecting our strategy to deemphasize services revenue and focus on customer satisfaction. Total revenue was $114.4 million, up 21% year-over-year, driven primarily by sales of our cloud solutions and growth of subscription license revenue. Our international business continues to present a growth opportunity to expand and invest in the utilization of our platform beyond the U.S. Revenue generated from our international operations remained robust, accounting for approximately 34% of total revenue for fiscal Q4. Our partner co-sell motion continues to gain traction. We have added another five partnerships bringing us to 130 data, technology, and service partners. This past quarter, we launched the Intapp Partner University to strengthen our partner knowledge and skill development around our products and their implementation. We are particularly excited to see an increase in co-selling motions with many of our partners taking place earlier and more strategically in our client lifecycle and sales funnel. Intapp's new vertical SaaS AI offerings, Assist and Walls for Copilot contributed approximately 4% of our net new ACV this quarter. While it is still very early in our product rollout, pipeline generation, and client provisioning, we are excited about the prospects as we look forward to fiscal 2025. Q4 non-GAAP gross margin was 76.1%, as compared to 69.9% in the prior year period. Non-GAAP operating expenses were $73.6 million, a $10.4 million increase year-over-year as we continue to invest in product development and go-to-market to support our growth. As we continue to focus on our operational efficiency, non-GAAP operating income was $13.5 million as compared to $3 million in the prior year period. Non-GAAP diluted EPS was $0.15 in the fourth quarter of fiscal 2024, as compared to $0.04 in the prior year period. Free cash flow, which is defined as our cash flow from operations less capital expenditures was $26.4 million for the fourth quarter or 23% of total revenue. We exited the quarter with $208.4 million of cash and cash equivalents. Turning to our key metrics. Cloud ARR was up 33% year-over-year and total ARR was up 22% year-over-year. Total remaining performance obligations were $566.5 million, up 40% year-over-year. Overall, we remain committed to executing our land-and-expand model, concluding the fiscal year with over 250 clients. Among those 73 had an ARR of at least $1 million up from 53 in the previous year. At the end of fiscal 2024, we had 698 clients with ARR of at least $100,000, up from 603 in the previous year. Our net revenue retention rate underscores our ability to retain and steadily expand business with our existing customers. This key metric was 116%, which continues to track within our range of 113% to 117%. Our cloud NRR in Q4 FY '24 was 121%. Moving to our full-year results for fiscal 2024, SaaS and Support revenue was $316 million, up 25% from $252.3 million in fiscal 2023, driven by growth in our SaaS revenue. SaaS revenue was $259.3 million, up 32% from fiscal 2023 reflecting sales to new clients, expansion of existing contracts, and migration of an on-premise products to the cloud. Subscription license revenue was $60.7 million, up 24% from $49 million in fiscal 2023, largely due to several large clients opting for multi-year on-premise renewals. We have made significant progress in proactively working with our clients to transition for a cloud offering in the coming year. Professional services revenue was $53.9 million, up 9% from $49.6 million in fiscal 2023. The ongoing success of our industry solutions further contributes to clients realizing quicker time-to-value through an expedited implementation process. Non-GAAP gross margin was 74.2% as compared to 71.1% in the prior year period. Non-GAAP operating expenses reached $280.6 million, reflecting a 17% year-over-year increase as we enhance operational efficiency and drive revenue growth. Non-GAAP diluted EPS was $0.45 for fiscal 2024 as compared to $0.11 in the prior year. Free cash flow, which is defined as our cash flow from operations less capital expenditures was $64.8 million for fiscal 2024 or 15% of total revenue. Now turning to our outlook. For the first quarter of fiscal '25, we expect SaaS revenue of between $75.3 million and $76.3 million. As these are newly provided revenue outlook metrics, we are also providing the implied year-over-year growth outlook of between 28% and 30%. SaaS and Support revenue of between $89.5 million and $90.5 million and total revenue in the range of $117.2 million to $118.2 million. Non-GAAP operating income in the range of $11 million to $12 million and non-GAAP EPS results of $0.12 to $0.14 using a diluted share count weighted for the quarter of approximately 81 million common shares outstanding. For the full fiscal year '25, we expect SaaS revenue of between $326.7 million and $330.7 million. Again, as these are newly provided revenue outlook metrics, we are also providing the implied year-over-year growth outlook of between 26% and 28%. SaaS and Support revenue of between $380.5 and 384.5 million and total revenue in the range of $493 million to $497 million. We also expect non-GAAP operating income to be in the range of $56.5 million to $60.5 million and non-GAAP EPS in the range of $0.59 to $0.63 using a diluted share count weighted for fiscal year 2025 of approximately 84 million common shares outstanding. Thank you. And I will now turn the call back to the operator.
Operator: [Operator Instructions] Our first question comes from the line of Kevin McVeigh of UBS.
Kevin McVeigh: Great. Thank you so much and congratulations. Really, really good results and a lot to like here. I guess, John, maybe starting with maybe reconciling the professional services with the larger client sizes. This might be a multiple-point part question, but is that work that's being done by KPMG on the implementation side? Like, just trying to understand that dynamic because it seems like the clients are clearly getting larger, you're doing less professional services. And is that kind of the leverage that comes from KPMG with Microsoft or is there any way to just kind of dimensionalize that?
John Hall: Thanks, Kevin. The business is growing at all sizes certainly at the large firms. We are continuing to grow in absolute numbers, our professional services business, it's larger, but it's growing at a slower pace. That's intentional. And yes, it's absolutely because we're serving some of the clients ourselves, as we always will, but also we are getting meaningful leverage, particularly at the large end. KPMG is an excellent partner for us. As you heard Dave mentioned, we've also grown services ecosystem consistently each quarter, because we know as we get bigger, we're going to need a strong ecosystem to serve all the demand.
Kevin McVeigh: Helpful. And just to follow-up with that, if I heard you right, it sounds like you've got 130 data and ecosystem partners. Any way to think about how much revenue was associated with that on the platform today and what that can become over time?
David Morton: Kevin, it's Dave. I had it on mute. We haven't necessarily gone into the depths of that detail and disclosure at that professional service level. But with respect to kind of where we're seeing both from a data technology as well as service partners, as well as those partners that are bringing co-sell or even the original sale, they've been growing. And then also with our blueprints that we talked in previous calls, that time-to-value at the back end is making these a lot more beneficial across the board. And so, not only with our long-term strategy, but also with the implementation, the time to value and obviously, which all translates into customer sat, things have been up until the right on that.
Operator: Our next question comes from the line of Aleksey Gogolev of JPMorgan.
Unidentified Analyst: Hi. This is Louise Kenner (ph) on for Alexei Gogolev. My first question is, it appears that the share of SaaS in the SaaS and Support line is growing from 84% in 1Q to 85% for the fiscal year '25. What's driving that increase and where do you see that number longer-term?
David Morton: Hi, this is Dave. Yes, I mean, it's purposeful that continuation, right? And even if you go to our longer-term model, we believe that over 90% will be facilitated vis-a-vis SaaS orientation, which is by design. And so, as we not only continue all of our new products are cloud native. And so, as we continue to have our land-and-expand specifically in the cloud, as well as transition our on-prem into the cloud, that number will continue to increase accordingly.
Unidentified Analyst: Got it. And then for my follow-up, you're the last company in our universe, that's only just provided their outlook beyond June 2024. Can you elaborate a bit more on what to expect in terms of total revenue growth in the first half of fiscal 2025? And what estimates you have for the second half of the year, which ends for you guys in June? Thank you.
David Morton: Yes. We provided a full-year guide, across all of our dimensions, right, for fiscal 2025 as well as for Q1, which is traditional of what we've done in previous years, as well as previous experience.
Operator: Thank you. Our next question comes from the line of Koji Ikeda of Bank of America.
Koji Ikeda: Yes. Can you guys hear me, okay?
David Morton: Yes, Koji.
Koji Ikeda: I wanted to ask a question about the demand environment assumptions that is embedded into the 2025 guidance. More specifically between the two core verticals, how are you thinking about demand for professional services and financial services? It sounds like in the prepared remarks, you had pretty good financial services back half. Are some of the expectations that good momentum there in financial services continue into 2025?
John Hall: I can do a little color on that. We did have some good results in the second half. I mentioned, investment banks specifically. As you all recall, we mentioned those in the Q2 report and we were working on some large deals and we were able to bring those in, in both Q3 and Q4, which was something that we thought would happen, but of course encouraging for us what it did. I think generally, we've had good support from the end market at a fundamental level because they are behind in the digitalization curve. They haven't adopted cloud as broadly as many of the other industries have by now, and they need to. They've been limited because they haven't had a vertical-specific solution that really understands them and their data model and their process model in the way that our platform does. And so, we're bringing them a modern cloud solution that really fits what their underlying digitalization needs are. And now we have even more vertical AI capability each quarter. We just did an announcement yesterday about expanding some of our vertical AI capabilities within Intapp Assist to an additional set of capabilities on the platform, and we have a roadmap for that to continue. So I think that the real answer is there's strong underlying demand for this industry to continue to go through the digitalization curve. On top of that, I think we've benefited from these firms being relatively resilient in good times and bad. We bootstrapped the company for many years serving these firms and didn't have to raise any external money, because we got paid by doing good things for them. And so, I think there's just a good vertical market here. If you like vertical markets, this is a very resilient one to pick. And then, we also said, as things evolve in the macro economy, if there's a segment of our population that might be more sensitive, it's probably the investment banks themselves. And we saw a little bit of that, but then we also saw a nice recovery.
Koji Ikeda: Got it. Thank you for that, John. And maybe a follow-up here. I wanted to ask a question about the guidance methodology. Last year was really the first time, Mr. Morton that you gave guidance, so this is the second time you've gave guidance, but just kind of understanding that you've been here for a little bit longer than a year now. Trying to understand how you're thinking about potential upside embedded in the guide. I look at last year's guidance of where it started and where it ended up both on total revenue and SaaS and Support revenue, and I look at the guidance you've given today for fiscal '25, is that kind of the right way to think about how you're thinking about where revenue could end up or is there any other considerations we should be thinking about?
David Morton: So this company has been consistently very prudent, with respect to our guides, whether if it's current quarter or annual. So that methodology hasn't changed. The only thing that really is changing here is that, providing further visibility on just the SaaS line itself. As we all know and acknowledge, we've had some revenue mix, as we continue to enter into this pace and time, fiscal '25 moving more proactively from on-prem subscription more to in the cloud and SaaS, this is probably the only change in the methodology going forward. And so, that's what I would take from these conversations.
Operator: Our next question comes from the line of Steve Enders of Citi.
Steve Enders: Okay, great. Thanks for taking questions. I guess maybe just to start. I want to dig in a little bit more on the AI side and the solid early success that you're seeing there. I think it's about $1 million in ARR, so if I'm doing my math right here. But I guess is there a way to think about like, which products in the portfolio you're beginning to see the most traction with to help kind of buildup that number? And I guess secondarily, as we do think about the annual outlook here, kind of what contribution you're embedding into the guide from AI for this year?
John Hall: Thanks Steve, we're very excited about the progress that the new offerings that we launched in February have made already. We talked on the last call that we do expect that all of the new offerings will have to go through the normal product market lifecycle and go through early adopters and get references and then scale up from there. We've had that experience many times, as we've grown the company with different parts of the platform in this market, and we don't think that these will be different in that regard. That being said, there's a lot of intrinsic interest in this population, the professionals, the business services teams in these firms to figure out what are the vertical AI applications that really will make a sort of believers that the places where AI is gonna get the first traction across the broader economy is in the vertical applications where you really know the process cold, you know the users cold, and you can figure out where the value creation really is. And so, the whole Intapp Assist strategy is designed directly for that. It's about looking into the industry solutions and the blueprints that we've developed for our clients, looking at specific business processes for specific user types and personas, and bringing out real value-creating applications of AI in ways that people can take advantage of that. The Intapp Assist for terms announcement that we made yesterday is a perfect example of this. It feels a little specific if you look at it on one hand, because what are we doing? We're helping the clients, our clients, the professionals in these firms, ask the system, hey, what are the rules and obligations that I have when working with this client? How do I know what I'm allowed to charge them? What people I'm allowed to put on this project? How -- what kind of promises have been made by others of my partners around the world for this client? But it's a very common question that really helps the firms do a better job serving their clients better and not making mistakes in the way that they engage and it's instantly recognizable and valuable to the professionals. So that's just one specific example across the wide portfolio of vertical AI applications inside the Intapp Assist strategy. So we have a whole set in the market already, and then we have a roadmap that we talked about in February to roll it through the rest of our platform and I'm very encouraged by the positive response that we're getting from people saying, you are the folks who really understand us and can bring something with and that's the philosophy there.
Steve Enders: Great to hear. And then, I guess maybe then just on the like contribution for this year, since it does seem like it's beginning to have an actual model impact, but yes, how should we think about the actual contribution that we'll see come through for fiscal '25?
David Morton: Hi. We assume very minimal contribution at this point in time. As John had said, we're still in very, very early stages, but we do have revenue SKUs out there today. And so, that's part and part of kind of the declaration that we stated. It's also got a broader halo effect, a lot of interest, a lot of pipe generation, funnel, conversation points and it even gets back to an elongated conversation of our client base, meaning from pre-COVID, post-COVID, move in folks in the cloud, and now we're having real life conversations of even broader of AI application and usage. And so, it's one of those where you could just see a huge, waterfall of adoption. But trying to time that rate of pace is something that would be very difficult over this fiscal year. And so that's why we've kind of kept it as a minimal impact heading into FY '25.
Operator: Our next question comes from the line of Alex Sklar of Raymond James.
Alex Sklar: Great. Thank you. John, first one for you. Just in terms of go-to-market investments relative to what sounded like an improving demand backdrop, you got a lot of leverage out of the sales and marketing line as 2024 progressed. I'm just curious, how you're thinking about sales hiring going into fiscal '25 within the new outlook and particularly given what sounded like a growing international opportunity? Thanks.
John Hall: Thanks, Alex. We are continuing to invest in growing the sales and marketing capability of the company. There is definitely a large TAM to sell into and we're still making investments in many areas. International is one of them, as you heard me explain some of the places that we're winning clients, which we're very excited about. So we're going to continue to grow that group. That being said, I think there is a strong thesis that the vertical industry cloud, vertical AI go-to-market model should start to get leverage as the business scales and as the brand becomes better understood, and as the references build inside this very self-referencing market. So it's part of the model that we should be able to get some leverage there while growing at the same time.
Alex Sklar: Okay. Great color. Dave, maybe just a follow-up for you and this is kind of following up on Koji's question on the outlook and your decision to split out SaaS from Support. Is there anything to flag in terms of changing expectations for migration activity this coming year or just a move away from multi-year license deals or anything else kind of behind the change in SaaS versus Support in terms of the outlook? Thanks.
David Morton: No. Nothing pending per say. I mean, we have multiple clients in flight today that are making that progress. But getting that specific quarter-by-date correct at this point in time, is a little more difficult, as these get a little elongated with the transition overall upwards of 9 to 12 months but there's several underway, and we'll declare them when we're able to convert the material ones. And so, the point is, we want to provide a prudent guidance that put us over skis from SaaS and support traditional to just SaaS and then conversely professional services as well. And so, that's why we started this declaration as well as continue to narrate our cloud ARR as well as our total ARR as well for the longer-term durability of our business and true projection of our revenue growth.
Operator: Thank you. Our next question comes from the line of Terry Tillman of Truist Securities.
Terry Tillman: Yes. Hi, there, John, David. David, could you all hear me okay?
David Morton: Yes.
Terry Tillman: First, congrats from me, and also great to see the breakout of SaaS. I really appreciate that. The first question is a long-winded question, then I had a follow-up. The long-winded question relates to if we look at a little bit of a trend Q-over-Q, there is an improvement in net ARR and then cloud ARR. You're sitting on all this new innovation. It seems like there could be some upward pressure potentially on NRR or upward movement, I should say. And so, any color on that? And are you doing anything different in FY '25 go-to-market to really even more purposely drive out those add-ons back to the installed base? And then I had a follow-up.
John Hall: Thanks, Terry. We talked about at the beginning of fiscal '24 setting up a group specifically for the enterprise firms. I think we saw some good results there both in new logo acquisition and in cross-sell and up-sell within that size segment. We also had talked about we've done some R&D investment over the past 18 months or so on a whole series of capabilities from full Azure support, Snowflake capabilities, some security things that we did to make sure that we could meet the requirements as we get bigger. And there's a broader whole product story there with the ecosystem with suppliers like KPMG to help us meet the needs. So I think if you look at the 73 firms over $1 million of ARR statistic, which we're very excited about, you can see some of that cross-sell and up-sell happening in that largest segment of the market, where there's so much up-sell and cross-sell activity. We've shared some statistics about what it would look like if we just expanded inside our top firms that we already have. So we could get to $1 billion just doing that. So I think that absolutely. Now that being said, we're also doing similar cross-sell and up-sell opportunity in the midsize firms and even the smaller ones. So the NRR numbers we're very proud of, but I think it also reflects the breadth of the Intelligent Cloud offering, how much we have to bring back to these clients and we think that'll be consistent contributor to our growth.
Terry Tillman: That's great. Thanks, John. And just a follow-up question, you're up to 130 partners and I know there are all kinds of size in different stripes. There's data, there's software, there's professional services firms. What are you seeing like for example, the last couple of quarters you've added, I think you had six last quarter, expanded with five this quarter, five new wins. What are you seeing then in terms of starting to get a motion where they're actually driving new opportunities for you all beyond just servicing your customers? What are you seeing from that? Thank you.
John Hall: That's been increasing year-over-year. We continue to mature that motion in several different ways across investment. We talked about our partner program and university if you will, and that's just one of the latest to give a better reflection of the folks and the talk track that we have coming on board as a result. And so, we'll continue to moderate this appropriately as well as with our go-to-market motions to continue to drive results specifically within our funnel and pipe jam.
Operator: Our next question comes from the line of Parker Lane of Stifel.
Unidentified Analyst: Hi. This is Matthew Kickert (ph) on for Parker. Thanks a lot for taking my questions, and congrats on the quarter. The 2025 guide, calling for very nice operating margin expansion next year. And you mentioned the vertical AI go-to-market motion contributing to some of that. But maybe more broadly, could you walk through some of the efficiencies contributing to leverage and anything that may have been incremental from last quarter?
David Morton: So, we'll continue to drive leverage on our model. From a productivity perspective, I still believe that there's opportunities there, from an absolute cost. If you think about, where we're at from a stage appropriateness, just specifically in G&A, there's opportunity there. But even if you go back and reflect on some of our previous Investor Day slides from February 22nd, there were also opportunities within our gross margin and sales and marketing as well. And so, those still hold true, and we're just continuing to operationalize those respective cost opportunities as we think about FY 2025 and beyond.
Unidentified Analyst: Okay. Makes sense. And then going back to the 2025 guidance, how are you thinking about the split of net new customers versus migrations and expansions next year? And how would you expect that to impact the cloud ARR trends versus total ARR? Thank you.
David Morton: I think what we've experienced from our net new, we've seen more from upsell and cross-sell. And then, obviously, we've had a continued duration and cadence of net new logo. But if you think about just the absolute contribution outside of migrations, it's been about a 60/40, 60 being upsell and cross-sell. And that can flex upwards to 75% in a quarter and then down to 50% in the quarter, depending on the rate of pace and the size of those lands. With respect to cloud migrations, those haven't really happened in a meaningful manner, and you'll continue to see that track from total ARR to cloud ARR. But I would expect those cloud migrations, more targeted to our back half of the year when we work through some key clients and get them in the cloud.
Operator: Thank you. Our next question comes from the line of Matt Vanvliet of BTIG.
Matt Vanvliet: Hey, good afternoon. Thanks for taking the question. I wanted to circle back on the comment you made earlier about some of the Applied AI functionality now being sort of revenue SKUs, so kind of two part here. I guess, what mix of the current functionality that's available today is already being monetized directly? And over time, how do you envision either charging directly or using it as kind of an upsell, cross-sell functionality within some of these other modules to give them more value?
John Hall: Thanks, Matt. So we're bringing out an extended set of Applied AI functionality across the whole Intelligent Cloud platform. We have a roadmap for the different solutions within that platform to bring Applied AI features out over time. We started in February, we announced Intapp Assist for DealCloud. That's our brand name for the vertical AI, applied AI, generative AI generation of our offering, and that is monetized. So existing clients can buy that for a price with a SKU, for new clients, we have an opportunity to charge for that and you'll see that, same model as we roll out the Intapp Assist offering across the rest of the platform. In parallel, we also announced some capabilities like Intapp Data, which we talked a little bit about in the prepared remarks, that is embedded in the platform and DealCloud itself to help all of our clients have a better data foundation to run a lot of the AI on. So in that case, we're becoming more and more specific and purpose built for the end market. They see more differentiating value overall. And you might say, the value of that is in the price or embedded in the annual price increase. So we're using different approaches strategically considered for how we're going to monetize this. But the reaction from the market has been tremendous. The Intapp Data capability was the number one requested capability leading up to that launch and we've had a huge response and a huge competitive strengthening in a bunch of areas in the market because of what we're doing there, very excited about what the team has done. And then, on the Intapp Assist side, really fantastic value stories coming back from our clients. And similarly, I even quoted one in the script around Intapp Walls for Copilot, incredible stories coming back. In fact, these are the things that people have been looking for in this whole generative AI conversation that the world has been having over the past year is how do we really get the value for our professionals and for our firm to drive revenue, to improve risk and compliance, to drive profitability and efficiency, to drive user satisfaction and partner satisfaction. And so, I think this is increasingly a central story and plank of our differentiation purpose-built story going into these very specific markets for the end users there and helping them feel like we are the people who are going to help them take advantage of the generative AI era.
Matt Vanvliet: Okay, very helpful. Thank you. And then as you look at the partner ecosystem, number of [Technical Difficulty] on there, you're at 130 now. What is the appropriate pace of sort of additional partners in there versus focusing on the ones you have and really driving the value for those that committed early and are already a big part of the ecosystem? So, how should we think about that sort of growing versus focusing over time?
John Hall: I think a lot of it is client-driven. We've always had a client-driven culture from the beginning, and we look at the places that we can create meaningful business value for our clients together with one of the partners. You'll see the people that are joining us, we typically have client stories to go with them from the beginning because they've been referred to us as somebody who can really help us build out a more whole solution for the firm. We're going to move it to pace of the market. It is interesting. It is a very rich underserved space. There's a lot of opportunity for a lot of companies to partner with us because we are now increasingly viewed as the cloud platform that's purpose-built for this marketplace. So we have a lot of inbound interest from the partner community, which we're very excited about and grateful for. We also are pretty conscious of which folks we want to build a relationship with and grow our partnership with, because we do invest with them to make sure that we go make those clients successful together, and we want to make sure that we're building up a rich ecosystem that really works for the client side. So I think you'll see a consistent growth pace there. It's a core part of our overall strategy to get the ecosystem economy going, the leverage that accrues to the company as we scale. And it's one of the things we said, as we were coming public. That's one of the signs of the leader in the marketplace in the industry is, when you start to get a really rich ecosystem and everybody wants to integrate with you, it shows the position that you have and the opportunity that you have to really grow and discover value in the marketplace. So we're very excited about how that's going.
Operator: Our next question comes from Brian Schwartz of Oppenheimer and Company.
Brian Schwartz: Hi, this is Brian Schwartz from Oppenheimer. John, I wanted to ask you what you're seeing in terms of sales cycles on your bigger deals. Clearly, the activity has picked up in the second half of your fiscal year and the macro did not. So, are you seeing any improvement in terms of the cycles or just good execution or seasonality? And then I have a follow-up for David from the market has been tremendous. The Intapp Data capability was the number one requested capability And then I have a follow-up for David.
John Hall: Yes. Thanks, Brian. Yes. Actually, the sales cycles in Q3 and Q4 did improve for us a little bit. I was very excited to see that. We watch all of those metrics pretty carefully and we had some good signs this period.
Brian Schwartz: Good. And then the follow-up question. David, I just wanted to ask you about the components of the NRR, the expansion activities. Specifically, clearly the cross-selling, the up-selling activity is strong from your commentary. You've got the pricing in there. What are you seeing in terms of headcount growth from your customers? Is that meeting your expectations as you came into the plan?
David Morton: Yes. Headcount is just at times an artifact of the total opportunity ahead of us. And so, even with our largest clients, as we've noted back in February, even our top 200 ARR, there was still so much more room to expand and I believe that then and I believe that more than ever now. And so for us to continue to go up-sell, cross-sell, that opportunity is still very, very true for us today and we haven't been limited or gapped out because of not enough headcount or anything of that narrative. We're finding those consumption rates high and the usage high across our clients, which is an ever-improving CSAT, time to value. And so, that's [Technical Difficulty]
Unidentified Company Representative: Okay. And you’re question [Technical Difficulty]
A - Unidentified Company Representative: [Technical Difficulty] this quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.